Ben Page: Good morning from Paris, and welcome to the half yearly results for Ipsos. I am Ben Page, the Director General. I'm joined by my colleague, Dan Levy, our CFO, and before we dig into these numbers that you've just seen in the video, I just wanted to comment on public opinion globally because, of course, we are Ipsos, and that's one thing that we look at constantly and I think what's important to remember is just the way in which inflation has, for the years now been the #1 concern of the public globally. When we ask them what their biggest problem is you can see, 1 in 4, say it is their key problem and half are mentioning it as an overall issue, along with their own finances, and that's well ahead of any of the geopolitical tensions that bother us in business or the march of technology. So it's very important to remember that because we're still facing consumers all over the world who despite inflation having fallen can remember, of course, what prices were just a few years ago. And of course, you can see here the overall proportion of people who say that they feel at high risk from inflation. And in the last year, of course, we've seen inflation coming down, but the proportion of the public who are thinking about it as a key problem hasn't really changed at all, 32% to 31%. And so that's really important, I think, to remember when you're thinking about the general challenges facing many sectors of the economy who depend on consumer spending. Of course, geopolitics is always with us. And last time we spoke when I was presenting the Q1 results, of course, we remarked on the fact that for the first time ever in our tracking of different countries' reputations, we had more people saying that China was a force for good in the world than the United States. This month, you can see the proportion of people who say that they're avoiding American products is 7 in 10 in Canada, 6 in 10 in China. I'm not saying that what they do is always what they say and a major part of our work is understanding the difference between what people say and what they do. But the fact that you got so many people, 4 out of 10 people globally saying that they're trying to avoid buying American products. It's just an indication of the upheaval that we face at this point of change in our geopolitical system. So with all of that, what's happening at Ipsos. And I'm pleased to report our total growth in the first half of the year is 1.5%. You can see that in the profile of this year in terms of growth is much more like our 2023 performance than our 2024 performance. We decelerated during 2024, in 2023, we accelerated, and we can see that same pattern happening this year. And so in the last quarter, growth of 0.7%, our profitability at 8.3%, which will strengthen during the year, and Dan will explain that in a little bit more detail. Our free cash flow at EUR 54 million about the average or slightly ahead of the average for the last 3 years and again, reflecting the profile of revenue recognition during the year. So overall, a reasonable return to growth in Q2. But of course, we're expecting it to strengthen during the rest of the year. And I'll now look at, of course, a little bit more detail and here is the United States, you can see minus 1.7% in the first quarter, plus 0.5% in the second quarter. And so we're encouraged by that with our management team now well embedded -- new management team well embedded in the United States working very cohesively and effectively together. We are -- they are still heavily affected by the activities of DOGE and cuts in federal spending, which is dragging them down. If you look at the other parts of the business in the United States. We have an organic growth of 2% in the first half. And we can see that our CPG clients who use us for a whole range of things around innovation, brand development, brand growth. They have continued to spend money. And we have a new leadership in our pharmaceuticals business we can now start to see some real growth in our pharma sector globally. So we're encouraged by what we saw in the last quarter, lots more to do, but some encouraging signs. We've also, of course, completed the acquisition of The BVA Family. This gives us a stronger position in France, in particular, but also in Italy and the U.K. and it brings us new expertise that we can now roll out to our whole network. And in particular, they are world leaders in pack testing, which we'll talk about in a minute, but also they bring a strength in mystery shopping, and in work for government and the public sector, particularly in the transport sphere. And so we will be -- because of the strength of those brands, we are renaming Ipsos in France as Ipsos BVA. Ipsos in Italy will become Ipsos Doxa and the PRS IN VIVO brand for the pack testing will be rolled out all over the world. They've got some really innovative research techniques that we can now roll out. They are stronger in luxury, but also in behavioral science. There's a range of things that they bring to Ipsos that as with previous acquisitions, we will now be able to roll out. And if you look at pack testing, in particular, which is the PRS IN VIVO business, they are a recognized leader in this space, a huge database of examples to build on and to use and to put into AI to speed up decision-making, really profound expertise in this space and great relationships and long-term relationships with many of the CPG players and others. And so now we're able to take this to a geographic footprint that by my estimate is around 10x larger, which should really give this team now, combined with our innovation team at Ipsos, some real impact. So I'll hand over now to Dan to talk through some of those details and the phasing in a little bit more detail. But thank you.
Dan Levy: [Interpreted] Thanks, Ben. Ladies and gentlemen, good morning. So let's begin by the breakdown of organic growth by region. Performance is improving in H2 across regions. EMEA, the first half comes in at 6.3% growth driven essentially by the acquisition of infas in Germany. Organic growth comes in at 0.8%, 1.8% achieved in Q2, reflecting good results in Continental Europe, but also in the Middle East. Conversely, a more challenging business in France, heavily affected by the political situation, notably on our public affairs business. The Americas delivering organic growth of 0.6% in Q2, 0.5% in the U.S. As Ben said, measures taken by the management team in the U.S. are beginning to bear fruit. Of course, the political context remains volatile in the U.S. and in fact, public affairs business, but the performance of other service lines is encouraging because overall, they're up 2% in the first half, driven by consumer clients and health business, which, as you recall, affected activity in '24, but picking up in H1 '25. Lastly, business in Asia Pacific impacted by the absence of recovery in China, hurt by the structural difficulties. The economy is facing against a backdrop of this inflation. Asia is also affected by our drop in public affairs after many elections in a number of Asian countries in 2024. Performance is also up in Q2 across audiences. Service lines for employee services and clients, 0.8% in Q1 and 1.6% in Q2 in spite of an unfavorable base effect, strong growth same time last year. It's driven essentially by our market positioning, optimizing marketing spend, measuring the impact of ad campaigns and mystery campaigns or activity with citizens is down sharply 11% since the start of the year because of the political situation in the U.S. and as Ben recall, the DOGE impact, but in France and in Asia, the electro cycle and certain budgetary constraints led some public clients to adopt wait-and-see attitude, medical and patients plus 5% versus last year, innovation in terms of oncology, rare diseases and [Indiscernible] on GLP-1 should drive growth going forward. We prefer to remain cautious, notably in the U.S. because the political context could impact both vaccine development, but also the marketing of new medicines. Our DIY Ipsos Digital platform, delivering excellent performance 26% growth in H1. Operating margin of Ipsos Digital is almost twice that of the group. We continue to enrich the offering new solutions on Ipsos Digital, our annual target is EUR 140 million. Moving now having discussed the top line. Let's move to the comments on the P&L. Gross margins 68.4% in the first half as against 68.5% same time last year. This decrease is due to the integration of infas in Germany. The gross margin is sharply lower at a group level. The integration plan to restore profitability is underway. Like-for-like gross margin is up 30 bps over last year, notably due to the strong growth of Ipsos Digital. Turning now to operating cost, payroll is up 3.1% because of a scope effect and at constant scope, payroll is only up 0.7%. We continue to adapt our cost base to the evolving business and our head count is down by about 2% at June 30 versus 31st of December 24. The full impact of this head count reduction will accrue to profitability in H2. As Ben said, H2 will be sharply off in terms of profitability. General expenses up EUR 7 million, that's a scope effect because of IT, tech and panel acquisition spend in line with our road map and then other expenses and charges, negative balance of EUR 10 million. These are severance costs but also negative ForEx impact with -- because of the sharp depreciation of the dollar, notably in Q2 '25. Lastly, for H1, the operating margin comes in at 8.3%, below the operating margin of noncurrent expenses impacted by about EUR 5 million of acquisition costs, acquisition of BVA and infas EUR 3 million for the depreciation of net asset in Russia. We're looking at the impacts of the vote by the Duma on the 15th of July. Last of a law as of 2026 will limit the capital of market research companies held by foreigners. This bill has been on the discussion of the Duma for 2 years now. We've depreciated the net book value of Russian operations in our balance sheet. Adjusted net income comes in EUR 72 million as against EUR 82 million last year. I think it's important to recall that we're expecting a significant improvement in profitability in H2 of the year, driven by the expected acceleration of growth in H2. As Ben said, we'll have a year whose profile will be closer to that of '23 than '24 with an accelerating growth and full effect of cost containment measures in H2, which should drive profitability. As you can see on this chart, H1 profitability close to that of 2023. And of course, we maintain our operating margin target at 13% at constant scope. The operating margin of H1 was impacted by unfavorable ForEx, notably the slide in the dollar. Turning now to the cash flow, the change in working capital is stable versus last year, thanks to the optimization of our billing and settlement procedures reducing the payment terms and a lower level of receivables due to the negative growth of Q4 and Q1 '25, investments are up at EUR 38 million, in line with the implementation of our tech road map. And all in all, free cash flow comes in at EUR 40 million would have been EUR 54 million at constant scope excluding acquisition. As you can see at the table at the foot, EUR 54 million is lower than that of 2024 last year. H1 was favored in free cash flow by a shift of part of the cash because of the strong growth at Q4 '23, as you can see, free cash flow early '25 is higher than that of '23 and '24. Lastly, we spent EUR 174 million in acquisitions all in all, essentially with the acquisitions of The BVA Family and infas, cash at close comes in at EUR 250 million. Net financial debt stands at EUR 251 million at the end of first half, EUR 57 million at the end of last year, a slight increase of the leverage at 0.6x EBITDA link, of course, to the acquisition of infas and BVA. Excellent level of liquidity of EUR 450 million undrawn credit lines after renegotiated EUR 150 million. As you can see on the right, after the issuance of our bond of EUR 450 million at the start of the year. We have no significant debt maturities before 2030. Thank you. Back to Ben.
Ben Page: Thank you very much, Dan. And I thought it would be good just to briefly update you on where we are on technology and AI because this is obviously now fundamental, both to our industry and to Ipsos. And in particular, the work that we're doing on synthetic data. So synthetic data, of course, has the potential to dramatically reduce the need for large sample sizes in some cases or to even remove the need to interview anybody at all. But it needs to be done carefully with caution, with security, which is one of our watchwords. And so we are using it for areas of data boosting, if you need more of a certain subgroup of the population who are hard to find, our work is showing that if you have enough examples of that subgroup and enough data, and this is where the size of Ipsos and its history and the waves of surveys we have going back decades even to the last century in some cases, means that we are very well placed to do that. We can now reliably add in particular groups of the population to a survey and save money and time. We can impute questions. And so one of the things that we're doing is looking at the ability, if you know people's answers to 20 questions on a particular subject can you reliably predict their answers to another 10 issues that you haven't actually had to spare or waste time or time and cost interviewing them about, but you can impute those answers -- and then, of course, in terms of the use of data, and I'll show an example at the moment, AI is allowing us to create synthetic personas, PersonaBots based on real data from dozens of surveys so that you could look at different segments of the population, but importantly interact with them. You can have a conversation and not just the research specialists in a client organization but anybody inside that client organization can now have a conversation with the AI, where it is representing the persona of a particular type of voter, a particular type of consumer to get deeper insights and ask further questions. And then finally, of course, we have full synthetic data. We will be building digital twin panels in large countries where we know exactly from our knowledge panel, what the views of large numbers of people in those markets are on key questions and now, of course, we can validate the synthetic data digital twin models we will be building and so that for many issues, you would be able to simply say, rather than asking the actual humans, you can ask the synthetic panel created from those humans views and tested and validated in a way that was just not possible a few short years ago because of the level of computing that is needed. And so just to give you one example of that, we've rolled out PersonaBots across our business in virtually every part of it. And one example is on a topical subject, GLP-1, so weight loss drugs. What you can do here, of course, and this is the gold -- a big gold rush in the pharma sector, is talk in detail to different segments of the population in terms of their usage and attitudes towards GLP-1, dig into those questions, look at how they're reacting to different ideas, different packaging, different treatment options. And it gives you a secure environment to do that, but one in which, again, it's democratized, lots of different people in the marketing function and the client organization can use that data and talk in real time. And again, it really brings to life the existing research that previously was perhaps sitting on a page or on a screen. Now you are talking to these personas almost as though they are real people, but doing so in a reliable way. And we're working closely on this with Stanford University. They have a specialist unit focusing on synthetic data. And so we are testing out these solutions. We are validating them in a wide range of parts of our business, we have both very accurate data from things like the knowledge panel, which Nature Magazine, for example, during the pandemic showed us the most accurate panel in the United States. And we're now able to, of course, to produce those answers and understand where we are going to be able to produce accurate estimates using synthetic data and where there is more risk. We will publish some of our first learnings with Stanford by the end of this year, but a very important development inside the business. Meanwhile, of course, we continue to use AI across our business to speed up and one particular area is the creation of Agentic AI, the Ipsos Insights agent. So it builds on our platform that we built over 2 years ago now for safe internal use of AI, using a large number of different large language models. What this does now is allow clients where we're working with one of the largest technology companies in the world, one of the largest brewers to load in their own data and survey data from other sources, put all of that together, sales data and then interrogate it very rapidly to understand if demand for this goes up, what will happen to consumer reactions if the price was to change, et cetera, et cetera. So really speeding up our ability to clean data, to put it together and to extract more value from it. And very exciting to see that. Also, of course, using the algorithms of AI to speed up delivery. We have taken things that would have taken literally days down to hours and things that took hours down to minutes. One of the tools that we're using for reporting allows you to safely take a dataset, so there are no hallucinations because it's rooted in that dataset, but very quickly in any language on earth pretty much, interrogate that data, ask it to produce charts, et cetera. So massive improvements in speed that we hope to see as we deploy these technologies across the business, but always, of course, mixing human intelligence with artificial intelligence because our work on synthetic data shows that it's very easy to be very wrong. And that is something that we, of course, at Ipsos where we are trusted by our clients is something that we are absolutely conscious of at all-time safety, security, speed, substance and simplicity. So in terms of our outlook for the rest of the year, we are in a volatile global environment. You only need to look at the news to know that. But nevertheless, what we can see is that our growth is on track at what we can see at the end of this half is that our growth is on track to be above last year and that with the cost control measures that we have in place and with the profile of revenue recognition during the year, we will see our margin being delivered at around 13% at constant scope. And that is where we are right now. Very happy to take your questions. We will see you again in October and more importantly on November 19 with our Investor Day, where we will take you through what we have been working on in our Horizons 2030 plan, which covers many of the things that I have briefly touched on today. Thank you very much.
Operator: [Operator Instructions] The first question is from Emmanuel Matot with ODDO BHF.
Emmanuel Matot: [Interpreted] Several questions. Firstly, can we have an idea of your order book end of June, is it consistent of organic growth of 1.3% organic growth, or so should that order book need to accelerate over the coming months. Second question, how to manage to retrieve the situation in the public affairs service line, whereas the budgetary context is very challenging for many governments. Third question, the threshold of 13% operating margin. Can it be protected, ring fenced for the number of years without any genuine recovery in the activity. You've done a good job on your margin in '23 and '24 already, whereas the context was more challenging than expected. And last question, you were active on M&A, but not in the U.S. with a return to growth in the United States, have you looked again at M&A in that region.
Dan Levy: Okay. I'm maybe going to take the first question because Ben had to boost his translation, maybe he didn't listen to it, I think. So on the order book, we don't communicate on the order book, but actually, what we can say is that what we have seen in the first half and the results of this first half plus the order book and what we see in the business is consistent with our guidance. So we don't communicate on numbers, but what I can say is that the order book is consistent with the guidance of an organic growth above last year. Did you get the question?
Ben Page: Yes, I'm fine. Thank you, Emmanuel. So on public affairs, I think, obviously, there's a unique situation in the United States. In other countries, it's sometimes due to cyclicality in terms of where the governments are and overall I would say and we've still got some markets where we have very good growth. But I would say that government remains, I think, a growth area. We've got aging populations. We've got voter on both left and right in politics, there is an expectation for government to do more, that puts continued pressure on them to, of course, deliver and -- but deliver cost effectively. And interestingly, if you look at, for example, the U.K. over the period 2010 onwards, we had a new conservative government, we had austerity. But in the end, they needed the data. And what you're seeing in our public affairs business in many markets now is not survey research being fundamental but evaluation. So the profile of the work is changing. And we can see if you're looking at the global market. And so this is -- if we build that bridge, if we invest in this social program, what will the ROI be? And that's something that we have particular expertise in as well as, obviously, our longstanding expertise in social research, population studies, studies of staff working in the public sector, et cetera. And so for all those reasons, I think it's -- we can still see that in the long run, this is a successful area. We are #1 globally in terms of our footprint in this space. And we still see that there is huge upside. We have a small market share in most markets. If you look at us compared to some of the other major consultancies, we think there is still upside there. On the margin, I mean, Dan will come in from his perspective. We have reduced our head count this year so far by 1.8%. We can control those costs because, of course, the vast bulk of our costs are wages. We need to keep driving efficiency and many of the technologies that we're deploying should enable us to do that. And above all, we can be flexible about how we deploy people. So for those reasons, and thank you for recognizing efforts in '23 and '24, we believe that we can balance growth and profitability.
Dan Levy: And maybe on that, we can add that, as Ben said, we are going to present our strategic plan in November. Obviously, the objective is to grow the strategy -- the growth strategy. And it is true that, obviously, maintaining a high margin is easier in a growth trajectory than the low growth trajectory. So first of all, obviously, the answer is growth. And second, it is true that when you look at different aspects of our business in terms of the P&L, a lot of things are pointing towards an improvement of operating profits in the future. First of all, there is a mix which is coming basically from the progress that we make on our platforms and particularly Ipsos Digital, which tend to be with higher profitability than the average of the group. And then all -- we have different service lines which are growing quicker, and we have higher profitability than the group. And there is, on top of that, all the rationalization that we are doing in our operations and all the productivity gains that we are actually seeing for the time being, and we are going to be seeing even more in the future, thanks to generative AI. So I think it's a mixture of all of this. Obviously, we will give some more indication in November about the margin going forward. At the same time, it is true as well that we will need to invest in the future on our platforms on generative AI and investment will obviously have also an impact on the margin at some point.
Ben Page: And on acquisitions in the U.S., I mean, I think we are -- still, we are always looking at the United States. I think there's -- prices remain pretty high, but there are some very interesting things that we're looking at right now there, and we will keep you informed as we progress.
Operator: The next question is from Marie-Line Fort of Bernstein.
Marie-Line Fort: Can you hear me?
Dan Levy: Yes, we can.
Marie-Line Fort: I've got 3 questions. The first one, and I'm sorry if I missed the figure, but could you share with us the share of new services in H1, including Ipsos Digital, but in total, the new services. The second question is regarding the outflow for financing acquisition just was wanting to know if in H1, you factor in all the outflow or if there is price complement in the second half. And the last question, sorry, I forgot. I will come back just later.
Dan Levy: Around 22% in H1, mainly driven by Ipsos Digital and the growth of Ipsos Digital that we detailed before. On the acquisition, we have pretty much paid everything on BVA and infas already. So there shouldn't be any significant outflows in the future.
Marie-Line Fort: ForEx because you had an exceptional charges in H1 due to the collapse in the dollar, what could be the impact on the second half?
Ben Page: An expert on FX.
Dan Levy: Well, the best way in terms of forecasting FX is basically the random work. So we basically don't know. It's true that the impact of FX has been particularly tough in H1, and particularly in Q2 because if you remember well, the dollar has been depreciating in Q1 after Trump was elected, but when he started to speak about tariffs suddenly, the dollar tended to depreciate and that has obviously a big impact on our -- both on our top line, but also in terms of FX on our P&L, both on operational and nonoperational items. We will see what happens in H2. I don't know how the dollar is going to be evolving, but it might be indeed that at the end of the year, we might have some impact linked to the depreciation of the dollar.
Operator: The next question is from the English conference call is from Louise Wiseur of UBS.
Louise Wiseur: Two questions for me, please. The first one, with regards to your margin in H1, could you -- it has gone down from 10.1% to 8.3%. Could you discuss a bit more the building blocks between the two. And the second question, still around margin, but this year, you will get negatively impacted by the acquisition of infas and The BVA Family, which is margin dilutive. When do you think you could actually improve the margin of these businesses to group margin? And -- sorry, just got something on the background. And when do you expect basically you should kind of like get back to that 13% including the scope effects? And lastly just on 2026, would you expect, given we will have another 6 months of The BVA Family inclusion in the numbers. Would you expect that to also be margin dilutive?
Dan Levy: So on your first question I think, again, as I said before, 2024 is not probably the right -- the relevant comparison with 2025 in terms of H1 because the profile of the year is quite different in 2024 and 2025. In 2024, you might remember that we had strong growth at the beginning of the year, which is, by the way, the reason why we had the favorable base effect in 2025 and then a deceleration of growth during the year. 2025 is really more likely to look like 2023, which is low growth at the beginning of the year and acceleration during the course of the year. So obviously, it means that compared to 2024, the profitability is going to be far more skewed towards H2 than H1. And this explains basically the gap between the H1 profitability in 2024 and 2025. On top of the fact that we probably entered the year in 2025 with a bit too much cost. And as I said, we have done some cost management measures, which are going to bear fruit in H2 and improve the profitability. So basically, I think you should be looking at H1 profitability compared to 2023. It was 8.7% in 2023, and we delivered more than 30% in terms of operating profit over the year. I would add on top of that, that usually H2 is far more important on profitability than H1, it's usually 30%, 70%, 70% in H2. So we are comfortable with the guidance of around 13% of operating profit at constant scope. In terms of impact of the acquisitions, as -- I mean, the assessment has not changed since Q1 where we said that we expect BVA to be dilutive in 2025 of around 40 basis points and infas of around 20 basis points. So all in all, with the 2 acquisitions in 2025, you could expect a dilution of 60 basis points on the operating margin. We expect to restore the profitability of both companies within the timing of, let's say, 18 months to 24 months, which means that there is likely to be an impact again in 2026, but probably far less in 2027.
Operator: [Operator Instructions] There is another question from the English call. It is from Eric Blain of Finance Connect.
Eric Blain: Can you hear me?
Dan Levy: Yes.
Operator: Yes, we can hear you.
Eric Blain: Yes, I hope you can hear me.
Ben Page: Please ask your question, sir.
Operator: The next question is from Anna Patrice of Berenberg.
Anna Patrice: Perfect. So I just wanted to -- connection was a bit not great on my side. So I missed some of the questions, so apologies for repeating the question. Could you provide if you can an outlook for the Q3 and also on your order book. There was a question from Emmanuel from ODDO, and unfortunately, I haven't heard the answer, if it is consistent with your guidance and at some point, the organic sales growth? And then how do you see the acceleration of the growth of Q3, Q4, et cetera. Another question is more on the margins. So you said that you had too much of cost beginning of 2025. I would like to understand a bit more about it. So why that was the case? What are you doing? How do you plan to optimize costs? And what are the concrete measures that you are taking?
Dan Levy: Okay. So do you want to take it?
Ben Page: Well, I mean, on the outlook, I mean, as we've said, we don't publish the order book, but everything that we can see in the order book at the end of Q2 says that we should be growing by more than we did last year, which is what we provided as guidance. The phasing of that, you can look at the revenue and you can -- last year and see how the comparisons work. On margin and cost control, we -- what we have been doing and what we did in 2023, actually, when we faced a similar situation is to put careful control on recruitment. Remember, our staff turnover is very roughly around 20%. And so if you don't hire replacements, the payroll falls fairly mechanically. We've also been very mindful that although we are investing in technology and in AI, we are balancing our investment in our GenX over the year, looking at the profile of the work in order to deliver consistently for shareholders. And our ability to manage those costs which was proven in 2023 and 2024 is really the type of approach that we're using this year. So -- and coupled with, of course, the pattern where the comparisons get much easier in the second part of the year. Dan?
Dan Levy: Well, I think, yes, I have nothing to add, basically. So when I say that the costs were bit high at the beginning of 2025. It was not as such, it was compared to the activity that we had in Q1. You remember that we -- organic growth was minus 1.8% in Q1. So we are being sensible about cost, and we have adjusted our cost base being very careful of hiring people and adding resources where -- in the places where we are growing and being more careful in the places where we are growing less.
Ben Page: No more questions. Okay. Thank you.
Dan Levy: Thank you very much. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]